Operator: Good day. My name is Kevin, and I'll be your operator today. At this time, I'd like to welcome everyone to The Kraft Heinz Company Third Quarter 2020 Earnings Call. I will now turn the call over to Chris Jakubik, Head of Global Investor Relations. Mr. Jakubik, you may begin.
Chris Jakubik: Hello, everyone, and thank you for joining our earnings call. As you know during our remarks today, we will make some forward-looking statements that are based on how we see things today. Actual results may differ due to risks and uncertainties and these are discussed in our press release and our filings with the SEC.  We will also discuss some non-GAAP financial measures during the call today. These non-GAAP financial measures should not be considered a replacement for and should be read together with GAAP results. You can find the GAAP to non-GAAP reconciliations within our earnings release. We will begin today's call with Miguel Patricio, our CEO providing a brief business update. Carlos Abrams-Rivera will then review performance in our U.S. business. Paulo Basilio, our CFO will discuss our financial performance and near term outlook, then we will all be available to take your questions.  With that, I'll hand it to Miguel.
Miguel Patricio: Well, thank you Chris. And good morning, everyone. I would like to start our business update by sharing the sentiment I provided earlier today in our earnings release. You have heard me say frequently that we were cautiously optimistic about the path forward. But our momentum has been building, causing us to turn more confidently optimistic. This is based on three facts. First, in the previous two quarters, our results benefited from the scale that Kraft Heinz could bring in the immediate response to the pandemic. Our exceptionally strong third quarter performance reflects the agility of our organization and our ability to sustain momentum. Second, the changes in consumer priorities continue to support greater at home consumption and increased demand for our brands. And third, our strategic work is moving from planning and organizing into action. Based on these three factors, we are raising our 2020 outlook and continue to expect 2021 results to be ahead of the strategic plan we finalized earlier this year.  To better make these points. Let me share a few relevant charts. Slide 6 presents an updated view of our at home or retail versus away from home or food service sales performance. The charts show Kraft Heinz's year on year sales growth by geography from Q1 through Q3. The abrupt and unprecedented shifting between at home and away from home consumption that we saw in the first half of the year continued through the third quarter. At our Investor Day, we spoke at length about the many things we have been doing to become more creative, more agile and more efficient. And despite both volatile demands, and in some areas constrained capacity, our teams around the world are demonstrating their ability to adapt to demand through a mindset of growth. Our agility led to a very strong second half of September, as retail demand accelerated yet again, and we responded effectively and efficiently. As a result, our Q3 top and bottom line performance was stronger that's what we projected at our Investor Day on September 15. We have talked about 2020 being the first year of a turnaround. We said, it would be a year in which we laid the foundation for future growth, stabilized our underlying profitability and maintain our industry leading margins, all while we rebuilt our business momentum. It is clear that this is happening, as you can see on slide seven. From the first half through the third quarter, we have sustained underlying top and bottom line moment. Even as we take on additional COVID related costs and supply constraints, we have been keeping our cost of goods under control. Also as we outlined in February, we are resetting our base through divestiture, business exit and the normalization of incentive compensation. Our underlying growth is tracking with our strategy. Platform growth is consistent with the portfolio rolls we have defined with grow platforms up 7% year-to-date and energize platforms up 8%. And what we find very encouraging is that, while taste elevation is growing middle single-digits, excluding food service, taste elevation is growing roughly 20%.  Emerging markets growth is accelerating, up 9% in Q3 versus 7% year-to-date. The simplification that our platform approach and portfolio rolls bring is a key enabler in guiding us and measuring our success as we move through off fence. This visibility is critical as consumers preferences evolve and we need to adapt to serve different needs. Which brings me to another reason for our confidence in our past going forward. We are seeing consumer preferences evolve in ways that indicates that elevated demand for both at home consumption and big trusted brands will remain strong going forward. We are seeing stickiness in at home consumption, as consumers discover or rediscover cooking at home and at home meal experience.  We see them reassessing the shopping trip. With bigger baskets and greater bundling, affordability is the rising concern which should be a benefit to those companies that are fast to adapt and have a strong presence up and down the price value ladder. Consumers are gravitating towards big brands and our retail partners are reassessing assortment with availability and velocity, a key determinant for it.  And consumers are increasingly choosing brands that can better align with their values. These consumer trends are tailwinds, causing us to turn more confidently optimistic in the near term. The actions we have already taken to put our operating model in motion and the things that we needed to fix the most heading to our turnaround are many of the same things needed to adapt to an unpredictable environment with faster, greater changes in the consumer demand. For instance, since late last year, we focused on improving our people efforts by revamping and deploying new training and development programs. In many ways, we were also ahead of the game in our efforts to reduce stress and burn out and boost moral [ph]. And just last week, Kraft Heinz was named to the top quartile of Forbes Magazine list of World's Best Employers, after not even making the list of 750 companies last year. This is very positive reinforcement for all our efforts. We have talked our plans about the many things as a way to transform our company, from adapting our innovation pipeline to eliminating waste, to driving productivity as well as better planning with our partners, and ramping up investments in our brands, and our capacity, and our reach ecommerce and emerging markets. The point is that we now have the framework and visibility to distort resources, reverse savings, where we have the most advantage, and the greatest opportunities to grow. And most important, we are moving from planning and organizing to action.  I will close my opening comments by summarizing a few points. We had stronger than expected Q3 results due to the greater agility we are creating. The consumer trends we are seeing and the actions under way give us more confidence that our momentum will remain strong in the near-term. And we expect to continue exceeding our regional strategic plan into 2021.  I will pass it on to Carlos now to provide more color on how we are seeing this taking shape in our biggest business. 
Carlos Abrams-Rivera: Thank you, Miguel and good morning everyone. I think that analogy I will use to describe this past quarter is that we successfully have been driving down the road at 90 miles per hour to keep up with all the demand while we are changing the tires. Now that takes ownership and agility and our teams are showing it in speed.  As Miguel mentioned, our third quarter results demonstrate our new organization quickly adapt to opportunities, and it was evident across our U.S. business as we finish out the quarter. As you can see on Slide 12, we maintain a strong momentum in both the top and bottom line. Organic net sales growth reflected higher household penetration and repeat rates and a revenue management discipline. An outstanding execution and efficiency in operations and procurement resulted in strong adjusted EBITDA gain, even as a number of headwinds began to have a greater impact in Q3.  With this, while demand shifted between channels on a week to week basis and the organization advanced the divestiture of our natural cheese business. While we can’t predict the future three things give us further cause for concern, as Miguel mentioned, we are encouraged by the continuing trend to our greater at home consumption. Second is that we are seeing more consumers coming back to our brands. And third, we are now better positioned to retain and grow both new and loyal consumers respond to rapidly changing demand and further capitalize on the gains we have made in the last nine months. Keeping with a driving analogy, operationally, we have turned a corner. I am pleased to share that we have rapidly moved from reorganizing to execution. And we are now in position to properly deploy resources and execute in a way that continues to build on the positive consumption trends we're experiencing. To give you a better idea of what this means. In people, our new business unit structure is now fully operational and fully staffed. We have made recent external leadership additions in consumer insights and sales leads with major customers. These additions complement several internal placements in new or evolve critical role. All helping to carry out a new foundation of processes with a growth mindset. The work we have done to put people first is paying off. We have seen higher engagement among our current employees. And we are continuing to attract top tier talent into the organization more rapidly than ever before. And we're building and strengthening both organizational and individual capabilities. This includes leveraging digital as an enabler, which will allow us to accelerate our growth and raise the bar on what it means to be a better. Turning to our platforms. Significant work on all six platforms is underway in the U.S. zone. And what results will be more evident in 2021. I'll show in a moment that we have already stored resources and investment to fuel our grow and energize platforms. In our ops centers, collaboration across our entire supply chain contribute a significant amount to our success this quarter. Including holding cost of goods under control. Even with incremental COVID driven cuts, demand volatility and supply constraint. In addition, our focus on operational excellence in manufacturing has enabled us to increase year-over-year production in the low single digit range overall, and by roughly 20% on lines where we have constrained supply relative to strong demand. In Q3, this include relieving constraints in high demand categories like cocas, cream cheese, mac and cheese and stuffing, helping us to sustain already strong household penetration and share trends, which I'll talk about shortly. And anticipating continue demand, we expect to go from double to triple digit investment dollars to improve capacity in 2021. We've also made significant progress in our partner program, with customer citing much earlier and much deeper planning than in the past. To date, we have conducted more than 40 top-to-top meetings with key retailers with another 40-planned in the coming weeks. In each meeting, we are sharing our transformational plans as well a joint business plans for the coming year. It's allowing us to be more strategic in category development and value creation. And while we're doing a lot to maintain retail momentum, we're also finding opportunities to better support our food service partners. From piloting new innovations like steel-touch dispensers to helping create unique menu items to drive traffic and sales for our partners. We have quickly be with it to adapt to market needs. All of this is beginning to result in consumers voting more often for us. As you can see on Slide 14, our retail market share has been continuously improving over the past year, running up to the end of September. This has been driven by an improvement in the overall health of the portfolio. As we have had increased capacity, invested in marketing, adapted our communication and built stronger collaborations with our customers. The percent of our retail sales where we grow and share has gone from only 20% in the first half to 41% in Q3 and up to 58% in September. And we are fixing our biggest categories. As the percent of our categories where we are gaining share has gone from 36% to 49% over the same time period. Some of this is due to resolving supply constraint in some key categories. For instance, Oscar Mayer cocas, part of our fast fresh meals platform and an area we are energizing saw share growth this quarter for the first time in 18-months. This was the result of fast adapting a product mix to raw materials availability, and capacity constraints, as well as the agility to activate and execute differently with customers. Some of this is due to greater focus and prioritization that our platform approach is bringing. For instance, in our taste elevation platform, we grew market share during Q3 in over 70% of the categories we compete. More importantly, we are well positioned and have the right plans in place to build them. I have shown previously that our household penetration is one of the inherited strength of our portfolio relative to the industry. And how this has strengthened further since the onset of COVID-19. We continue to see increase household penetration and repeat rates across a sizable portion of their portfolio, including core brands, like Kraft Mac and Cheese, Philadelphia and Planters. But what is most encouraging is the rate of new buyer repurchasing our products two or more time, we've now doubled the rate versus what we’ve seen last year. To build our base of loyal consumers and keep this momentum going, we are stepping up our marketing investment by 40% in the second half of this year, compared with the second half last year, and 70% compared with the first half of this year. We will have more work in dollars as a percent of our span as well. To close here, our third quarter was very encouraging as we began to see ourselves bringing agility to our scale. And with our organization prioritization and 2021 plans in place. We are well positioned to sustain the momentum we have benefited from so far in 2020.  With that, I'll turn it over to Paulo to talk through our financial results and outlook. 
Paulo Basilio: Thank you, Carlos. And good morning everyone. I will quickly walk through some key highlights of our results and then provide our expectations for the plans forward. I will begin where Carlos left off with the US business. Organic net sales in the US increased 7.4% in spite of a roughly 1 point drag from the Mac FX [ph] which began July 1. Volume mix growth across retail, e-commerce and club channels was strong and more than offset lower food services sales. Pricing was up 4% from a combination of lower promotional activity in certain categories to protect customer service, selective blend price actions and commodity driven pricing primarily in cheese. These effects are expected to fade in Q4 as we begin to wrap prior year pricing actions. And we expect to return to more normal levels of promotional activity. At adjusted EBITDA even though we saw the key headwinds mentioned on our last earnings call, better retail performance, positive pricing, favorable mix, and strong procurement deficiencies more than offset those impacts. In our international segment, Q3 top-line performance, check three of the boxes of the strategy we outlined [indiscernible] at Investor Day. First, we delivered the mid-single digit growth with a relatively balanced contribution from volume and price. Second, growth was led by emerging markets with outside gains in priority markets, including Russia, Brazil and in taste elevation in China. And finally, we advanced our aspiration of global leadership in taste elevation with over 1 of share growth in that part. Taking together, this top-line growth fuelled 6.8% constant currency adjusted EBITDA growth and more than offset higher supply chain costs, including incremental COVID-related expenses, and normalized incentive compensation. Looking forward, our outlook for the International segment is largely consistent with what we expressed in July. We anticipate results specifically on the top-line to soften in the remainder of the year compared to the year-to-date trend. Finally, in Canada, Q3 organic net sales growth decelerated relative to the first half. Here, lower coffee and food sub-shipments more than offset pricing gains and strong platform growth. In fact, Q3 retail consumption for easy meals made better in taste elevation, our two priority consumer platforms in Canada, grew at a double-digit rate and we increased share in 70% of all categories. Constant currency adjusted EBITDA improved sequentially, as we fully lapsed the divestiture of the Canadian, which is built in Q3. That said, we still saw declines versus prior year due to the Mac FX. Excluding the Mac FX impact, constant currency adjusted EBITDA would have been virtually flat with the prior year as consumption growth offsets supply chain cost inflation mainly logistics, as well as high incentive compensation. For Q4, we expect a combination of softer food services sales this year in seasonally strong Mac FX sales in the prior year to weigh on organic sales. These effects are likely to mask strong, although moderating retail consumption growth in carry forward price initiatives. EBITDA is likely to be more resilient and remain near run-rate margin levels with positive pricing and favorable mix more or less offsetting higher operational costs. Looking at the total company results, there are two things I'd like to highlight before going to our outlook. One is the low EBITDA items and the other is free cash flow. In July, we reiterated our prior forecast for $0.38 below the line headwinds due to a combination of higher tax, lower other income and higher equity compensation. Those three factors played out mostly as expected in Q3 with $0.12 negative impacts to adjusted EPS. That brought the year-to-date impact to $0.31 and remains in line with an approximate impact of $0.38 for the full year, a few item rank the rating today. Also keep in mind, that this impact is primarily non-cash in nature. In terms of free cash flow, year-to-date 2020 free cash flow has more than doubled compared with the first nine months of 2019. Much of the increase has been driven by year-to-date sales and adjusted EBITDA growth. However some of it is also due to favorable approval timing and lower CapEx spend which we expect to reverse in Q4. Furthermore, working capital as a source of cash should be comparatively less than it was in Q4 last year as we aim to reduce inventory levels.  That said, we are confident that free cash flow will be significantly better than 2019 levels. And we would expect free cash flow conversion to be roughly in line with our long term target of a 100% for the full year in 2020. Given where we are in the year and based on what you have been seen to-date, we are raising our outlook for Q4 and for the full year. We now expect organic net sales to grow mid-single-digits in Q4, as that would result in mid-single-digit growth for the full year. For adjusted EBITDA, we see high single-digit constant currency growth in the fourth quarter. And for the full year, we are now expecting high single-digit constant currency adjusted EBITDA growth. In terms of cash flow and leverage, we expect the strong performance to-date to result in a 100% free cash flow conversion for the year and net leverage to be approximately four times by the end of the year. Looking into 2021, we now have things in place to accelerate our investment with a strong visibility on returns and built on the momentum we established this year.  It is difficult to predict consumer behavior and the balance between at home versus away from home consumption going forward. So we will focus on what we do control, in fact our objectives are proper. From an organic sales perspective, our focus will be to retain and develop market household gains we made in 2020, and improve our growth trajectory from agile portfolio management. For EBITDA, we will accelerate the growth investments especially towards emerging markets and deliver adjusted EBITDA above our strategic plan. We continue to be committed to a strong return of cash to shareholders and we will continue to reduce gross debt outstanding, accelerated by the proceeds of the pending Cheese transaction.  With that, let me turn it back to Miguel to close.
Miguel Patricio: Thank you Paolo. To quickly summarize what we have seen and what we see going forward, our momentum remains strong as we rebuild our company through a mindset of growth. We are now moving to offense, able to reinvest savings and realize near-term upside in a purposeful prioritized way. And we expect to continue performing ahead of our strategic plan.  Now, we would be happy to take your questions. 
Operator: [Operator Instructions] Our first question comes from Ken Goldman with JP Morgan.
Ken Goldman: Hey, good morning. You mentioned affordability as an increasing concern for consumers but, at the same time that that's happening we're seeing private label across almost all categories do quite poorly in terms of share. I'm just curious you have some exposure to store brands in your categories, what is your research recently telling you about maybe why private label isn’t doing a little bit better in this environment?
Miguel Patricio: Well, let me start that and then [indiscernible]. We haven’t really felt the effect of the crisis that we have. So that is ex-GDP. We continue to see a pretty big acceleration in consumption. And of course part of that is; number one, because of how consumption growing because of the pandemic. But number two, because of consumers going back to first the brand. I think that at this moment, there's a big need for brands that people trust. That's a big trend from the past, there was a need of experimentation of brands and other things. What we see at this moment related to affordability is a change towards the fact. So we are selling more [indiscernible] than we were before. So mix impact. Carlos you've got to complement if you have?
Carlos Abrams-Rivera: Yes, Miguel. So, I guess let me just go back to something that I said during Investor Day, which is not so much about fighting with private label as it is co-existing with private label. I think at this time, what consumers are looking from us is to make sure we continue to emphasize the value that we can bring. And we certainly do that with our brands. If you think about all the recessions, big brands tend to win as well as some of the private label. But then smaller brands actually do not perform as well. And I think that's playing out that way. So, if you look at our Q3 results, our shares actually improved throughout the quarter. And as we go into Q4, we can continue to invest behind our marketing. We've seen that continuing in the next quarter as well. 
Miguel Patricio: Thank you. 
Ken Goldman: Thanks. Can I have just quick follow up to Paulo, just a clarification? You said you expect to reduce gross debt next year. Is there anything we should read into that that you said gross and not net debt? Do you also expect, I guess, to have your net debt lower at the end of '21 than it is at the end of 2020?
Paulo Basilio: Yes, I made that list. And we are generating cash. As we said, we have a very strong cash generation this year, you have to pay down pretty much more than $1 billion in debt already. And just to say that we intend to keep paying down debt next year with a strong cash flow that this company here generates. But the dimension was pretty much to say that you're going to use, you're going to be paying down that every year to focus on the gross debt reduction. And of course, as you generate cash, our net debt also will go down.
Ken Goldman: Great. Thank you.
Operator: Our next question comes from Andrew Lazar with Barclays.
Andrew Lazar: Good morning, everybody. Carlos, we've noticed you've obviously brought on quite a bit of new talent at high levels in a number of areas, but perhaps most visibly in sales. Having recently hired a new Head of US Sales and National Accounts. And I'm sure some others that I'm missing. Maybe you can talk a little bit in terms of what skill sets you were looking for when you brought some of these folks on. And some of the other efforts you've been making, specifically on the sales side. And maybe what you're seeing as far as a result, especially with key retail partners, which I know has certainly been an area of focus for the company?
Carlos Abrams-Rivera: Thank you, Andrew, and we do appreciate you recognizing the changes we're making. And let me start with giving you a little bit of context about how we rethinking our sales organization. And for us, it was around how do we actually build agility in the organization and in three different pieces? How do we reorganize our structure, upgrading our processes and really stalling grid discipline and how we spend? So, I mean I think you speak about the reorganization we have made. We have brought new talent, and I think what I'm most proud of is the huge amount of experience and diversity of thinking that we're also bringing into Kraft Heinz. And we're also making sure we are changing how our account structure so that we can focus on those critical partners. And then internally, we have also centralized our customer development and revenue management teams to make sure we really leverage our scale in a different way. So, as you said, some of the key times we have not only a new Head of Sales, but people under him actually account for over 50% of our overall sales in the US. So, that is a significant new leadership that we have put into critical places. And then as we work with our customers, I'll tell you that one of the things that they also think to be noticing is that we have also upgraded our processes. So we are pulling forward planning cycle to make sure we better match their timelines, which something that we haven't done in the past. And then making sure we have that greatest discipline that I spoke about, which is, make sure we have clear planning timelines that we commit and deliver. And we have the clarity to drive accountability and speed internally.  And if you take a step back, Andrew, I think what you see is that that kind of improved execution is showing up both in terms of our growth, as well as the sequential improvement we're seeing in market share.  So, I am very pleased with the talent that we bring in the organization, again with the discipline, with the experience, and the diversity of thinking that I think is going to continue to make us a stronger company as we go forward. Thank you. 
Andrew Lazar: Thanks for that. Just a quick follow up then would be. You've talked a lot about bringing on additional capacity, particularly in some categories where you've been most constrained. Is there any way to dimensionalize, maybe what percentage of that capacity is third party manufacturers versus putting more of your own capital in the ground? And the reason I asked that is to try and get a sense of that that could be also a total on sort of your expectations around how much of this incremental demand could really be sticky by putting more of your own capital in versus flexibility of a copacker? Thanks so much.
Miguel Patricio: No, thank you. And thanks for the question. So, I think the way I think about in terms of capacity is there are some pockets of capacity constraints, but really nothing that should be holding us back in a significant way. We have been making significant strides on improving our capacity in those lines that we have constrained. I think you have to talk about the fact that in those constraints line, we've actually driving 20% more out of those lines that we have ever done. So, it's also both making sure that we address that. But also is that we are also more agile to making sure we put the capacity that we have where we need it and working with our customers in collaborative way.  And some of that agility that also translates on how we actually working with our partners differently. Because we know that for example, let me just take one, which is Mac & Cheese. Well Mac & Cheese really the only constraint we have within Mac & Cheese cups. So what we have done is work collaborative with our retail partners, so that we can actually flex our marketing and promotion so that we can emphasize our box Mac & Cheese. And that kind of segmentation and focusing with our partners into the places where we do have a lot of capacity that actually has worked well. And it also is part of the reason why you're seeing that translating to improved share performance.
Andrew Lazar: Thank you.
Operator: Our next question comes from Robert Moskow with Credit Suisse.
Robert Moskow: Hi, thanks. A couple of questions. The first is on the market share improvements. It looks pretty impressive. Can you give a little more color on what categories are improving the most? And maybe explain what you did so that we can feel comfortable that those shares are sticky? Was it product? Was it pricing what's fixed?  And then secondly on inventory and supply chain. Glad to see that you're accelerating everything. Are retailers asking for more inventory than normal though? And when you say that the environment will go back to normal in fourth quarter, maybe a little more color on the -- as infection rates are rising higher, do you actually have to expand capacity well beyond your normal situation in order to satisfy what retailers want? Thanks.
Carlos Abrams-Rivera: If I can take that one at least for the U.S., and then if there's anything else, Miguel, you want to come in for performance on share. What I will say is that if you look at the way we're now thinking about our business. We’re looking at how we go from 55 categories to the six platforms that we identified during Investor Day. I think the thing that is very encouraging for us is that we are seeing strong performance across all six growth platforms. Particularly the two areas we designated as growth platform around taste, elevation and easy meals made better. Those are adding really strong penetration rates. So, it is not only the fact that we are driving, improved share, but also is that we actually continue to drive the penetration in the places we really are going after. And that is done because of the work that we're doing. So for example, there are things we're doing taste elevation. And let me take the example the Heinz brand, we are benefiting as we are actually focused on those co-schools that we identified during our Investor Day, whether that was burgers and fries and nuggets, and those locations are actually driving even higher.  So, the places that we said that we're going to be focusing on are actually the behavior that we've seen consumers actually doing more of as we go into this in most recent quarters. And then if you look at things like eating meals made better, we have areas like mac and cheese. We also seen how they continued to come back as they are now understanding how good the product is. How they're doing more prepared meals at home, whether that is with mac and cheese, or with our classical plasticizer, or either potatoes. So, it's a combination of us improving on the way we think about our consumers with a stronger focus on the consumer platform, as well as continue to drive improved focus on our penetration of our brands and driving with better marketing.  Before I get to your questions about the overall inventory levels, I don’t know Miguel anything else you wanted to comment in terms of share. 
Miguel Patricio: Yes. I complementing what you said. He means the national the International zones, we are seeing stable for [indiscernible]. The most remarkable growth is coming from Brazil, from Russia, and from the Middle East. In Canada, we are actually gaining share in 70% of the categories that we operate. We have problems with coffee, especially because of Mac FX. That is not in the face and that’s very representative for Canada. It was about 5% of the net sales for business in Canada. But generally, this will no longer be in the base. So, that complements the great momentum we have in US [indiscernible] things in reference in some of our products [indiscernible] very good momentum. 
Carlos Abrams-Rivera: Thank you, Miguel. And then Rob, I think the other part of your question was around the inventory levels. I think that what we -- let me just -- I guess, put it within the context first of all, we saw in Q3, which is we did see some rebuilding of retail inventories, when you look at year-over-year. But that would really as a result of the drill down that we saw in Q1. So, it does vary by customer. But overall, I think we are seeing that progression of most of that recovery happen for what we saw in Q1. Now, the reality is that, we don't know what the precision is of where retailer are going to end up in terms of the number of days of inventory they're going to be carrying as we go forward. So that still to be known. What we -- what I can tell you we're doing is we actually working very collaborative with our customers to make sure that as they are preparing for a holiday season that I think in many ways would be unprecedented.  And then secondly is in places where we know that our consumers are looking to expand maybe into non-traditional categories. So we are seeing things like in our mid-business that actually recover in Q3 and we saw the improvement in share with some of the mid-business that normally wouldn't sell as much in Q4, we've seen already the improved performance in consumption as we go into the holiday so.  So net-net I will tell you is that we are working collaborative. We are seeing some improvement in Q3 in terms of retail inventories. Where exactly it's going to land? Not as clear yet. But we're going to be there with our customers to make sure we do the right thing.
Robert Moskow: Great, thank you.
Operator: Our next question comes from Bryan Spillane with Bank of America.
Bryan Spillane: Hey, good morning, everybody. Thanks for taking the question. So, I guess I wanted to follow up a little bit on Andrew Lazard’s question, just with regards to the capacity additions and kind of the implications for I guess for I guess the stickiness of some of the elevated demand is here. My impression from the investor day was that the baseline expectation that you all were setting going forward was really that you weren't expecting a lot of this extra demand that that we picked up in 2020? So, I guess my question is, it sounds like you're expecting more of it to stick. So, maybe what's changed with regard to your thoughts around that? First. And then second, just give us a sense of how you're monitoring that? How do you identify that? And then maybe tied to that just how you plan? What do you do to maintain that stickiness? Is it increased advertising? Is it new products? Just what can you do to make sure that that demand is there? Thank you.
Miguel Patricio: We know we talked about it a bit, tried to give you a maybe a little more color in terms of how we think about our demand, and making sure that that it does stick. We do see, and we saw this in Q3 with consumers coming back to our brands in a much stronger way.  So the fact is that when you look at the results, we're really encouraged about the rate of new buyer repurchasing a product that it's two or more times. So, it's know that they're coming back, but they're actually coming at a higher rate than we have seen in the past. And we are also seeing that, particularly in a big brands. So, let me give an example of Philadelphia, the repeat is up 23%, as users really are looking for more user location, what to do with whether that is not just baking, but actually breakfast as well.  And we're seeing places like Oscar Mayer, where people are preparing more at home lunches and they're using our products in new occasions now that they are spending more time at home. So if you take it all together, then you say, okay. First, our big brands that really resonated with those new consumers. Those consumers are actually now that they are trying our brands are seeing the great taste, quality and value advantage that we bring. So, they're actually coming back at a higher rate. And when you can bring it all together, it just shows that, to me that the best way to exemplify this is that you see in the sequential improvement that we're seeing in our share performance.  So, that gives us quite a bit of confidence. I spoke earlier around, the capacity. And I can say again, we have seen pockets, but at the same time there's nothing that should be hidden in a significant way as we go forward. And I'm very pleased with that [indiscernible] this organization is doing in order to make sure that we work collaborative with our customers to ensure that, we have flex where we need it. But that actually has been something that we feel positive about as we go forward into Q4. Thanks for the question.
Operator: Our next question comes from Alexia Howard with Bernstein.
Alexia Howard: Morning, everyone. Can you hear me okay?
Miguel Patricio: Yes. 
Carlos Abrams-Rivera: Yes. 
Alexia Howard: Right. So, can I asked about the pricing dynamics? You talked about obviously, there was strength in pricing this quarter, particularly in the US. But do you expect that to save going forward as promotional activity start to ramp up again? I'm just curious about the conversations you're having with retailers about. Are they dropped off for more promotional activity? And in a capacity constrained environment. How are those conversations going? And then I have a follow up. 
Paulo Basilio: I can't take this one Alexia. I think I'm going to start here talking about like the comment about the pricing. And then maybe ask Carlos to talk to get the USPS I think is the good way to approach that. One thing that we see is that, as we comment, the first thing in Q4, we are going to start lapping some price increases we had in Q4 last year. So that is one of the components that we mentioned. So, in a relative basis. So, we're going to start lapping this price. And again, given the constraints that we had, and I'm going to ask Carlos to complement there, we are also coming back to a better or a more normal level of promotions. But then I'm going to ask Carlos to build on that.
Carlos Abrams-Rivera: Yes, thank you Paulo. In the U.S., what I will say is that we're beginning to now return to more normal levels of promotion and activity. I think you saw effect some of that already at Labor Day time period. And if you look at not only the actual Labor Day weekend but also overall, you take a step back and look at back to school performance. That back to school was actually pretty in line to what we saw last year. So that shows, I think that we are returning back that our customers want to make sure that we have the right pricing as we go into the remaining of the year.  So it was both in terms of us seeing that, we are ready in terms of having an availability of capacity to make sure we have the right promotions back in place, as well as working with our customers to make sure that we're there when we know consumers are going to be looking for our brands regardless of the channel whether that is in brick and mortar or ecommerce. And again, I think that -- if you look at it again, you see, just to finish the thought there is that. What you see is the market share performance, I think will show that kind of returning to promotions at the right level that we're doing as we go back and have the availability and the right investment with our customers.
Alexia Howard: Great. And just a follow-up on the emerging market is obviously strong right now. But should we be worried about macro-economic slowdowns in those regions? And that may be starting to slow down demand for branded product?
Miguel Patricio: Well, we are not in that. We have great momentum in emerging markets. And I don't see any reason to think that these will change in the short-term any signs of that. Actually, some countries go heavy record sales like [indiscernible]. We believe like in Brazil, the momentum is [indiscernible]. 
Alexia Howard: Great. Thank you very much. I'll pass it on.
Miguel Patricio: Thank you.
Operator: The next question comes from Jonathan Feeney with Consumer Edge.
Jonathan Feeney: Good morning. Thanks very much. Just one question. I guess, a lot of retailers have talked about SKU reductions and a more efficient supply chain. That was clearly a response to the supply chain constraints brought on by COVID. But I'm curious how do you think this will play out over the next 12 months? Do you think more SKUs and items come back? And the old complexity we had comes back? Or do you think that we wind up with a more efficient business model? And to what impact on margins, if any or your retailer relationships you looked at holistically? Thanks very much.
Miguel Patricio: I can't answer that. And Carlos if you want to compliment that specifically about work. I think it's actually both. I think that the first moment to maximize capacity, what we use and that market use was to reduce dramatically the number of SKUs to maximize productivity in the short-term. Some of these SKUs, however we're renounced. And -- because they are important, they are incremental. And so I think in a way, the market is adopting, it went to one extreme. And now it's coming back. But of course, it will not go to the level that was before and that is good. It's good for us, because the complexity in our effectiveness, and make us really do a very good analysis on profitability and velocity and streamlines unnecessary SKU. Carlos, if you want to add anything?
Carlos Abrams-Rivera: Just to build more than in branding adding, I would say building U.S. meal. What I would say is that -- well, it's difficult to say how the customers are going to stay in terms of levels of inventory and SKU levels. There are things that we are doing internally to make sure that we have the most agile supply chain organization. And that includes us reducing the number of SKUs as we go into next year. So from what we had a year ago, to what you'll see in 2021 is about down 20% of number of SKUs. That actually is something that as we work collaborative with our customer shows that we’re able to then make sure that we respond with the type of service they need in the core SKUs that they’re also looking for. So, now that doesn’t take away from us being able to also stay focused in the kind of innovation that we want to bring. So we are doing both reducing our SKUs by 20%, to make sure we have that gilt in our supply chain. At the same time, we also are still focused on innovation as we go into 2021 in which we actually feel very prepared. And the reason for that is, we have reduced a number of innovations in ‘20 by half of what we had in 2019. And as we go into 2021, it’s another third that we’re reducing. And at the same time, that innovation is actually going to have a bigger impact in terms of overall drive in sales since we go into 2021. So a much more fewer -- much more focus on fewer, bigger, better innovations. We’re also focused on the right SKU so that we can better service our customers. Thanks for the question.
Jonathan Feeney: That’s great, thank you.
Operator: Ladies and gentlemen, this does conclude the Q&A portion of today’s call. I’d like to turn the call back over to Miguel Patricio for closing comments. 
Miguel Patricio: Okay, well. Thank you very much for your presence here with us and [indiscernible]. And I just want to finalize and repeat some of the things we said during this call. We had stronger than expected Q3 results, and that is already reflecting the agility that we are creating in our win rates.  We have been able to manage this shift at home versus away from home consumption and at impressive speed. We are holding on to new households and consumers in a greater rate that we thought and the result of that is that our market share is showing pretty good times of improvement.  Our strategy is really moving or already moved from organizing really to watch. We are investing in the business, investments are ramping up. We have today a much better team and performance in all levels and this better-position Kraft Heinz to sustain gain. We, are as I said before, confidently optimistic in the near term performance. And that’s why we raised our 2020 outlook. And in 2021, the financials are ahead of what is expected growing our strategic plan.  So, with that thank you very much. Have a great day. Thank you.
Operator: Ladies and gentlemen that concludes today’s presentation. You may now disconnect and have a wonderful day.